Operator: Good morning, and welcome to the Gordmans Stores, Inc. earnings conference call for the third quarter of fiscal 2015. My name is Kayla, and I will be your operator for today's call. At this time, all participants are in a listen-only mode. But we will be conducting a question-and-answer session at the end of the call. [Operator Instructions] I would now like to turn the call over to your host today, Mr. Brendon Frey of ICR. Please go ahead.
Brendon Frey: Thank you, and good morning. Before we begin, I would like to remind everyone the information contained in this conference call, which is not historical fact, may be deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual future results might differ materially from those projected in such statements due to a number of risks and uncertainties, all of which are described in the company's filings with the SEC and our earnings release. I would now like to turn the call over to Andy Hall, Gordmans’ President and CEO. Andy?
Andy Hall: Good morning and thank you for joining us. On the call with me today is James Brown, our Chief Financial Officer. I will provide an overview of our third quarter accomplishments and an update on our progress on longer-term strategic initiatives. Then I will turn it over to James to present a more detailed view of our financial results for the third quarter, as well as discuss our guidance for the fourth quarter. We will conclude by answering any questions you may have. We are very pleased with our third quarter performance and continued momentum towards our goal of returning the company to a consistent annual comparable store sales growth and profitability. We had many accomplishments in the third quarter, most notably, our first quarterly positive comp in some time; our 0.8% comp sales increase, 0.3% on an owned plus licensed basis, was driven by successful back-to-school selling in the month of August. Unseasonally warm weather negatively impacted September and October business. However, we were still able to achieve essentially flat comp store sales for the combined September-October period. Our third quarter positive comp sales result was pervasive throughout the selling for men's, kids, juniors, accessories and fragrances, home and team, all produced positive sales comps. Missy and our licensed business were the only merchandise divisions that suffered a comp sales decrease. I should also mention that this was our fourth consecutive quarter in which our comp trend has improved and we fully expect to make it five consecutive quarters of improved comp trend in Q4. Another notable third quarter accomplishment is our e-commerce launch. We were very pleased with our early results. From day one our traffic and average order value have exceeded our expectations. We have seen consistent growth in our conversion rates, as we methodically build our online merchandise assortments. We are happy to have an e-commerce presence in our arsenal for the fourth quarter. Our third quarter gross profit rate increased 50 basis points to 44.4%. This improvement was driven by significantly lower point-of-sale markdowns. These point-of-sale markdown savings allow us to take appropriate timely clearance markdowns while delivering improved gross profit rates. We also expect gross profit rate in the fourth quarter to improve versus last year. We are happy with the investment level, content, and marketing of our inventory as we enter the fourth quarter. Our balance sheet inventory at third quarter end is up 9.8% to last year. This increase results from operating four additional stores, the inventory investment for e-commerce, and an improved flow of receipts through our distribution centers. As you may recall, last year we opened a second distribution center in August of 2014, and continue to have peak holiday receipt backlogs as of the end of the 2014 third quarter. Our comp store inventory increase, excluding e-commerce is approximately 4% at the end of the third quarter. Our peak holiday inventory ownership is this week and our comp inventory is up 2% to 3%. Our inventory ownership is right in the line with our fourth quarter sales expectations. There were two third quarter accomplishments that resulted in expenses that were not contemplated in our third quarter guidance. The first was the closing of one of our unproductive Chicago stores. The second was strengthening our senior management team with the addition of James Brown, our new CFO. The third quarter EPS impact of these was approximately $0.025. Lastly I will briefly speak to a few merchandising and marketing items that benefited third quarter and that will help us achieve our fourth quarter goals. I will start by sharing some progress that we are making on our merchandising initiatives. Our back-to-school success focused on the major trends in premium denim, joggers, plaids and fashion knit tops. Active trended well across the entire company and will be a key fourth quarter holiday and post-holiday statement. While we experienced some softness of cold weather categories, we were able to offset the decline with trending categories like the knit tops, fragrances and bath and body. Team, a destination business for us, performed extremely well as we delivered great post-season playoff product to our Cubs, Cardinals and Royals fan base. Going into the fourth quarter, we are seeing strong trends in our key holiday ramp-up businesses of men's, team, fragrances and home essentials. Men's posted a mid-single-digit increase for October while the Kansas City World Series win should fuel accelerated growth in team apparel. Back and body, a new classification for us is off to a strong start. Home essentials is driven by an outstanding assortment of pet products, toys, decorative pillows, electronics and food and candy. I mentioned missy earlier as our only owned down-trending third quarter division. We expect the missy business to turn around in the fourth quarter with new assortments. The current November missy performance is encouraging. Our 2015 capital investment to install line queues in all doors is resulting in incremental impulse sales and should perform well for fourth quarter stocking stuffers, candy and pet toys among other classifications. Now to marketing. We launched our new broadcast branding campaign in August with a back-to-school piece and continue to run five additional commercials in August and September. This commercial rotation included two e-commerce focus spots. As we discussed in the second quarter earnings call, our incremental marketing spend impacted third quarter EPS by approximately $0.02. This campaign developed with our outside ad agency targets new and existing guests with a clear focus on communicating our value proposition. Our marketing campaign will continue to run throughout the fourth quarter. In addition to our fourth quarter branding campaign, we are specifically investing more aggressively in advertising for the Saturday before Thanksgiving, believe it or not that’s tomorrow, Thanksgiving Day and Black Friday. As an example we have increased our Thanksgiving Black Friday circular from eight pages last year to 20 pages this year. In reviewing the Black Friday ads, our value offered with Thanksgiving and Black Friday doorbusters is competitively much stronger than last year. That total incremental marketing spend to last year in the fourth quarter will impact EPS by approximately $0.04. This is reflected in the guidance that James will provide in a few minutes. We are excited about the fourth quarter prospects as we enter with momentum and initiatives to drive business. We believe we are taking the right steps to set the company up for success this holiday season and more importantly over the long-term. I will now turn the call over to James to present more detail of our financial results for the third quarter, as well as our guidance for the fourth quarter. James?
James Brown: Thank you, Andy. Men’s sales for the third quarter of fiscal 2015 increased $7.2 million or 4.9% to $153.9 million, as compared to $146.7 million in the same period last year. The increase in net sales was driven by sales from the four net new stores opened in fiscal 2014 and the five net new stores opened during the first three quarters of this year. Owned comparable store sales increased 0.8% due primarily to an increase in the average sale per transaction, partially offset by a decrease in comparable transactions. Owned plus licensed comparable store sales increased 0.3%. Additionally, e-commerce operations were fully launched this quarter. Gross profit increased 6.1% to $68.4 million. Gross profit as a percent of sales was 44.4% for the quarter compared to 43.9% last year, a 50 basis point increase, driven by lower markdowns. SG&A expenses for the third quarter were $71.9 million or 46.7% of net sales versus $66.5 million or 45.3% of net sales last year, a 140 basis point increase. SG&A expenses were in line with plan. Corporate expenses were 60 basis points higher this quarter due to costs related to executive management changes, higher benefit expenses primarily related to health insurance, cost to support our growth in e-commerce and investments in our information technology systems. Advertising expenses were 30 basis points higher than last year due to increased investments. Stores expenses were 30 basis points higher this quarter than last year due to the addition of e-commerce, higher health and workers compensation insurance costs. Pre-opening and closing expenses were 30 basis points higher in the third quarter this year, due to two new fall stores opening this year compared to one last year and one store closing in the Chicago market this quarter. Depreciation expense was 30 basis points higher than last year. These costs were partially offset by a reduction in distributions center expense of 40 basis points due to lower processing cost. Interest expense for the third quarter was $900,000 compared to $1.4 million for the same period last year, with the $500,000 decrease coming primarily from the November 2014 pay down of $15 million on the old senior term loan. In addition, there were savings from a lower rate on the new term loan entered into the second quarter of this year. The net loss for the third quarter of 2015 was $2.8 million versus a net loss of $1.9 million last year. Third quarter diluted loss per share was $0.14 compared to the diluted loss per share of $0.10 in the third quarter of 2014. The weighted average diluted shares outstanding were 19.4 million in both years. For the first nine months of fiscal 2015, net sales increased $12.5 million or 2.9% to $443.2 million. Comparable store sales decreased 0.8% on both an owned basis and owned plus licensed basis. Gross profit increased 4.6% to $196.1 million compared to $187.5 million last year. Gross profit as a percent of sales increased 80 basis points to 44.3% from 43.5% last year, primarily due to lower markdowns. Selling, general and administrative expenses of $200.1 million for the first nine months of the year represented 45.1% of sales, compared to $193.3 million and 44.9% of sales last year. The 20 basis point increase is primarily due to higher depreciation expense, partially offset by lower pre-opening and closing expenses this year compared to last year when we opened our second distribution center and moved our corporate headquarters. Interest expense for the first nine months of the year, which excludes debt retirement cost of $2 million, decreased $900,000 to $3 million. The adjusted net loss for the first nine months of the year was $4.2 million or $0.22 per diluted share, which excludes $0.06 per share of expense related to debt retirement. This was an improvement of $1.6 million or $0.08 per diluted share over last year's loss of $5.8 million or $0.30 per diluted share. I would now like to turn to our balance sheet. Cash and cash equivalents at the end of the quarter were $8.9 million compared to $12.4 million a year ago. Inventory was $165.1 million at the end of the third quarter, an increase of 9.8% compared to $150.4 million at the end of the third quarter last year. The increase was driven by four additional stores, the addition of e-commerce and the earlier flow of holiday receipts through our distribution centers. Our total debt outstanding of $66.2 million was $14.7 million greater than the end of the third quarter last year, primarily due to financing higher inventory levels. Our liquidity continues to be strong as we have availability on our revolving line of credit of $37.6 million at the end of the quarter. With respect to forward-looking guidance, we are projecting the following for the fourth quarter of fiscal 2015. Net sales between $211.4 million and $215.8 million, which reflects a flat to 2% comparable store sales increase on an owned plus licensed basis. Gross profit rate improvement. Selling, general and administrative expenses to deleverage, primarily due to additional advertising and marketing investment and e-commerce. Diluted earnings per share for the fourth quarter in the range of $0.12 to $0.16 with a weighted average diluted share count of approximately 19.5 million. This compares to earnings of $0.12 per share in the fourth quarter of fiscal 2014. This completes my remarks. We would now like to open the floor up to questions.
Operator: Thank you. [Operator Instructions] We’ll take our first from Neely Tamminga with Piper Jaffray.
Neely Tamminga: I was started running there for a while, finally caught. Okay. Congratulations you guys on the progress you’re making. It's just remarkable to see anyone has a positive comp I think in this environment, so well done. Andy, can you give us a little bit of perspective - let's go high level and then I do want to drill down on some of the categories. But just think about where we were a year ago, and you approaching holiday almost more tactically and this year you get to do it more strategically. We've heard some of that around your Black Friday commentary. But I'm wondering if there is opportunities you've been around categories that really didn't even - you didn’t have the inventory investment around last year around gifting or some additional flows or opportunities around holiday this year. I'd love to hear your perspective as to how you are framing it up more strategically this year versus having to come in and right the ship a little bit?
Andy Hall: Sure. Thanks, Neely. And thanks for the kind comments. Yes, I think that's a very insightful question because last year was a little bit in last minute tactical mode. When we got here, we were able to be a little bit more strategic or a lot more strategic actually this year. At a high level that’s really been happening all year, it's been happening on, quite frankly, all fronts of our operations. So for example from a marketing standpoint one of the things we did this year was we didn't feel like we had enough investment in third quarter and fourth quarter. So we shifted our marketing spend to put it where it was going to be more productive. So we had less marketing spend in Q1 and Q2 this year. We have more ammunition, more marketing spend in Q3 and Q4. So that was clearly a strategic initiative there. As it relates to Q4, from that marketing perspective, again the spend is in several different areas, some of it is pure branding marketing, some of it is in advertising to support some of the different events that we have going on. So we are going to continue to run the branding campaign obviously throughout the fourth quarter. I misspoke on my materials. We started with a back-to-school piece in August and then we continued in September and October. I think I said August and September. I meant September and October with the rotation of the five additional marketing pieces that we had. We'll run that throughout the fourth quarter in addition to running selective advertising for Black Friday obviously, and then we'll do some of it in December for the December events as well. We were able to make some strategic changes in the marketing calendar last year in December, and I think if you recall, we ran a small positive comp in December last year. But last year we didn't even get a chance to do much in November. So clearly this year we are a little bit more strategic in November. We've moved our marketing calendar around to be more productive and to drive some sales. I think just strategically from Black Friday and - Thanksgiving Thursday and Black Friday, in the past we've kind of played by the Gordmans rules and this year we are kind of playing by the Black Friday rules, so increasing our page count from eight to 20. The doorbusters that we have in that book are much stronger than last year. When you look at the front cover of our book, it looks like a Black Friday campaign.
Neely Tamminga: And what about hours, Andy, too? Are you…
Andy Hall: Yes.
Neely Tamminga: How are you handling the Black Friday hours this year versus last year?
Andy Hall: Well, the hours are going to be the same. So specifically talking about Black Friday, since that’s a huge event, we'll get down into the weeds a little bit on that. So we are going to open at 6:00 PM again on Thanksgiving. We will stay open through Friday at 11:00 PM, which is the same as what we did last year. I think we’ve actually added an hour on the backend on Friday. Last year we closed at 10:00. We are going to close at 11:00 this year. But inside of that block of hours we are going to do things a little differently. We've had a 25% off bag event that is in the staple for the last 15 years of Black Friday. That event has gotten a little stale. We are actually move that even to tomorrow, Saturday, before Thanksgiving. We clearly saw the trend last year that folks were pulling Black Friday pricing earlier and the industry is on its way to turn Black Friday into Black November. So we wanted to be proactive and strengthen that event tomorrow. We think there is a lot of business for us in the weekend before Thanksgiving. And we replaced the Thanksgiving promotion and we are just doing a 20% entire purchase on Thanksgiving, which we think will be a win. It won't be limited to the number of bags that we hand out, so everybody that brings that coupon will get that savings. On Black Friday itself, last year, we started - we ran a 15% EP and we stopped it at 1:00 PM in the afternoon, which quite frankly didn't make a whole lot of sense. We want to capture as much of that Black Friday business as we can, not just the morning, and quite frankly with being open on Thanksgiving now, the morning piece of Black Friday is less intense as it used to be back in the day. So we are going to run the 15% EP the entire day on Black Friday from 6:00 AM in the morning to 11:00 PM at night. So that's a little bit of some of the marketing strategy changes. From a merchandising standpoint, we are much more focused on gifts. And we really are a gifts headquarter. Our guest comes in looking for those value gifts that we offer. So men's gifts and sweaters are ramped up this year. We are much better off from an assortment standpoint in holiday home. Our fragrance assortment and inventory investment is right where it should be this year. We were very light last year. And then on some of the trend areas. Active is a trending business across the entire retail landscape. That's true with us as well. So we are ramping up the active assortment and presentation, not only for the fourth quarter, but as I mentioned in the script, for post-holiday as well. We see that active classification of business being strong throughout 2016 as well. Still talking strategically from the things that we are doing in the distribution center. We made a lot of progress on pushing our holiday receipts through the pipeline much quicker this year than last year. That’s a big help having the goods on the floor, maximizing the period that we have to sell those goods on the floor is going to be a big win for us. E-commerce is a huge strategic win for us I think this year. We're really happy with what we've seen in e-commerce. I think that's going to be a big win for us to be competitive with the rest of the world in the fourth quarter. So, a little bit of the strategic nature this year versus the tactical nature last year.
Neely Tamminga: That's really helpful. And you do have a lot on that menu to really drive at the positive comp, so that's really helpful to have the transparency around there. Then I just wanted to drill in a little bit more on the missy side of the business, like we are definitely in the camp that whether induce traffic of what’s by and large going on, but it sounds like you're making some product changes as well. You’ve seen some success in denim. So is it more on the casual side that you're making these changes? If you could drill down a little bit more on what you're doing for missy in Q4, and what you think that business could turn, that would be also helpful. Thanks.
Andy Hall: Sure. So I'm going to give you a little bit of backdrop on missy. So yes, we made a leadership change in missy earlier in the year. That's been a big win for us. I think we had lost sight of who our missy customer was. So we’ve reeled that back in. It’s taken a new leadership about six months to really right the ship, but they've done a fabulous job. Last year, we were really - and earlier this year trying to go after kind of the, what we call the fringe missy customer on kind of the basic end of the scale and on the, what we call contemporary - it’s questionable whether it's truly contemporary, but the contemporary end of the scale. And what we've done is honed in on what the core missy customer is in between those two bookends and focus more on our customer base to give her better assortments, really both in casual and career - especially in career pants, we were really deficient in career pants. It was hard for our guests earlier this year to find a pant on our floor that you would really pair with some of our top offerings. And then I think we got a little in missy plus. I think we got a little wavered as well earlier in the year, so we've retooled the assortments in missy plus and that's made a drastic turnaround here in November. So through the first couple of weeks missy is actually running a small positive comp which we’re very excited to see.
Neely Tamminga: That's encouraging. All right. Well, I'll let someone else queue up for a question. But congratulations and happiest of holidays to you all there. Good luck.
Andy Hall: Great. Likewise. Thanks Neely.
James Brown: Thank you.
Neely Tamminga: Yes.
Operator: We'll take our next question from Mark Altschwager with Robert W. Baird.
Mark Altschwager: Great. Good morning, and thanks for taking the question. I was hoping you could talk a little bit more about the learnings from the e-commerce launch thus far, maybe any metrics on sales and then your goals in terms of sales penetration? I'm curious maybe what percent have come from within the traditional Gordmans trade areas versus perhaps a new customer? And then picture bigger how should we be thinking about the margin implications moving forward?
Andy Hall: Sure. I'll take a piece of this, and then I’ll let James take a piece on the - what’s embedded in our guidance for the fourth quarter on the investment in e-com. So first off we're really excited. So we launched publicly in early August. The reaction has been very strong. We've had more traffic than we planned. Our conversion rate is a little lower than we thought, but the traffic is significantly higher than we expected coming to the site. So the other eye-opening stat is our average order value is much higher than what we had planned. So our average order value has consistently been between $60 and $65 each week that we've been running. We had planned for a much lower order value on that. That actually helps us on a P&L basis as well, because we are using a third-party logistics provider that we pay on the - by shipments. So the bigger the order value obviously the better are the metrics on that. We are getting a lot of traffic from our existing guests. We had a lot of traffic that came to our pre e-commerce website. That continues to now go to the website, but then we’ve expanded the traffic outside of that as well. From an trade area standpoint, we’ve sold into all 50 states, albeit, Alaska is not being a high volume state. But when you look at the bulk of our sales are to the MSAs that we have a physical presence in, but we do a fair amount of business outside of our trade area as well. California I think is a top 15, roughly top 15 state for us. We don't have a presence in California, and again as I think you guys probably know that California customer actively shops on websites where they can save state sales tax and since we don't have a nexus or a presence in California, we don't have to charge sales tax on the California business. We have one store in Texas - in Taylor, Texas, which is about 90 miles or an hour and a half East of Dallas, but our Texas penetration online is stronger than just our single presence in that store in Texas as well. So the reach is obviously successful in our geographic footprint where we have a pretty more presence, but it's a little lighter than that as well based on the Texas and the California examples that I mentioned. James, do you have any more color you can give Robert on e-commerce?
James Brown: Yes, in Q4, I mean the e-commerce would probably add somewhere from 75 to 100 basis points of comp sales. Currently from a gross profit standpoint rate, it is trending higher than the rest of the chain, but that's mostly due to the mix and as we expand the assortment. And then again there is the infrastructure expense associated with e-commerce. You have to build a little bit upfront. So that does impact earnings from that standpoint, but it will positively impact comp sales and margin rates.
Andy Hall: Yes, Robert, for 2016, we’ll give you a little more color on what our expectations are in 2016 for the penetration of e-com. Obviously we expect it to grow at - our penetration has grown pretty consistently from when we opened the third quarter was in the - as a penetration of our sales, it was 50 to 70 basis points. We see it ramping up so far here as the holidays come on to maybe just north of a point. And then obviously we would expect growth going into 2016, but we'll give you more color on 2016 once we get through holiday. And believe it or not, we are operating with - well, it seems like we've been in the e-commerce business for a long time, we've been in it for three months, so we are still harvesting a lot of learnings and we’ll be a little more intelligent when we get to the end of the year.
Mark Altschwager: It’s all very helpful color. Thanks so much and best of luck over holiday.
Andy Hall: Great. Thank you.
James Brown: Thanks.
Operator: [Operator Instructions] We’ll take our next from Bill Dezellem with Tieton Capital Management.
Bill Dezellem: Thank you. I had a group of questions relative to inventory. First of all, would you please repeat what you anticipate your comp store inventory to be up at the end of Q4?
Andy Hall: Sure. We didn't mention that. So at the beginning of this month we were at plus 4% comp inventory increase that excludes e-commerce. Again some of the receipts last year that came in, in November got pushed through in October this year with the more efficient receipting process. So right now today as we sit, our comp inventory increase year-over-year is about 2% or 3%. And our expectations for the end of the year is that our comp inventories will be in the 2% to 3% range.
Bill Dezellem: And that's end of your fiscal year?
Andy Hall: Correct. End of January.
Bill Dezellem: Great, thanks. And the up 4% at the end of the Q3, I think on the last call you had mentioned that you were anticipating being up 10% to 15%. What changed?
Andy Hall: If we said that, that was either a misinterpretation or we misspoke. So I don't think we ever expected comp inventories to be plus 10% or 15%.
Bill Dezellem: Let's assume it was my misinterpretation then. So…
Andy Hall: We could have…
Bill Dezellem: I'm sorry. Go ahead, Andy.
Andy Hall: We could have misspoke, so I don't - our plan - the plus 4% comp at the end of October was a little higher than our plan. We didn’t plan for as much improvement in the receipt flow through the DCs. So I think we planned at a plus 2% comp level roughly for the end of the third quarter. We came in at a plus 4% and again that delta is all because receipts were accelerated and moved more quickly through the supply chain this year versus last year, which is a good fact.
Bill Dezellem: Thank you.
Andy Hall: Last year we were too...
Bill Dezellem: Last year you were too?
Andy Hall: We were too slow with the supply chain after opening the second distribution center in August, so we are working through some transition issues last year.
Bill Dezellem: Great, thank you. And then one of the things I was a bit confused by, it may have to do with this whole - that whole phenomenon, but your payables were down at the end of Q3 versus a year-ago with inventories up. Can you address what seems to be a strange phenomenon there?
James Brown: Really it has to do with the timing of payments, and just timing of the check run and some of the receipt flow, it had gone up a bit last Q3 in 2014 year-over-year. So really it's more of just the timing issue and it will normalize out as we go through Q4.
Bill Dezellem: Thank you. And then lastly relative to your missy inventory. Where would you characterize that relative to where you ultimately would like it to get in terms of merchandise selection, not in terms of dollars?
Andy Hall: Well, I think we are pretty close to where we want it to be here for the fourth quarter. So it's taken a new leadership team, about six months to turn through the bad assortments that they inherited. And so we are seeing that the new fall assortments that have flowed in for the fourth quarter have had a strong guest reaction. And she likes what she sees. So I think that we are pretty close to where we think we should be from a missy assortment standpoint.
Bill Dezellem: Thank you. And then finally, relative to your missy inventory. The quantity, does it need to be higher, lower, or is it about right?
Andy Hall: I think it's about right. So last year we got - let's call it enthusiastic about the contemporary product and we rolled it out to all doors and while it was giving us some plus sales it was on inventory levels that were way, way too high. So that gave us some pain in the spring season working through the fall product from last year and rightsizing that investment. So we think right now the missy business currently is - the sales performance matches the inventory investment. So as we call it stock-to-sales ratios are in balance now where a year-ago we were way out of balance with sales-to-stock ratios.
Bill Dezellem: Thank you both for the time.
Andy Hall: Sure. Thanks Bill.
James Brown: You’re welcome.
Operator: And we'll take our final question from David Mann with Johnson Rice.
David Mann: Yes, good morning. Nice job.
Andy Hall: Thanks Dave.
David Mann: In terms of the Chicago store that you closed, can you give us a sense on what the operating performance or drag you were seeing from that store? And then also what's the prospect on any other closures in that market?
Andy Hall: Yes. So as, I think, you all know, we had three stores in the market. So we closed one. It was a significant - I'll just say it was a significant [indiscernible] in that store. I would tell you that the payback on the cost to exit at that store, the payback is about a year or less.
David Mann: And in terms of any other closures that might come in that market?
Andy Hall: Yes, nothing is - nothing on the horizon.
David Mann: Okay. And then in terms of the fourth quarter, obviously the weather hasn't been great to-date, but can you just give us a sense on what last year’s cadence was November to January, and what's the optionality you see in terms of how your business should flow?
Andy Hall: Yes. So last year November, we were double-digit negative comp - I'm sorry, it wasn't that better. We were high negative singles in November; December was flat; and January was down low-to-mid singles.
David Mann: Okay. And the licensed departments and the fees you got there seem to slow a little bit this quarter. Give us any sense on what's going on, and how you think that will possibly trend in the holiday period?
Andy Hall: Yes, good question. I'm glad you asked that. Our shoe department had really outpaced our own comp percentage since I've been here through the second quarter. And in the third quarter it stumbled a little bit and underpenetrated our comp performance in the third quarter. I think most of that was our third-party provider made a big bet on boots, and heavily invested in boots, and I think the warm weather in September and October just really didn't do anything for the boot selling. And I'm actually happy to report that so far in November that shoes is now tracking to the company average. So they are running at small positive comp.
David Mann: Okay, great. And then one last question, in terms of new stores. Any early indication of what you think the number would be for next year and how does the pipeline look?
Andy Hall: The pipeline looks good. I think I'm still saying a little bit conservative on the number of store openings. I think we are going to be at four, five for next year.
David Mann: Okay, thanks. Good luck on the holiday.
Andy Hall: Thanks David.
James Brown: Thank you.
Operator: At this time, I'd like to turn it back to Andy Hall for any additional or closing remarks.
Andy Hall: Thank you. On behalf of our entire management team and our 5000-plus store distribution center and corporate office associates, thank you for your continued interest and support of our company. Please accept our very best wishes for Merry Christmas and a happy healthy and safe holiday season. Bye all.
Operator: That concludes today's conference. We thank you for your participation.